Andrzej Matyczynski: First Quarter 2025 Earnings Conference Call. Thank you for joining Reading International's Earnings Call to discuss our 2025 First Quarter. My name is Andrzej Matyczynski, and I am Reading's Executive Vice President of Global Operations. With me are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I will run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties, and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2025 first quarter earnings release released on May 15 on our company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operations. Such costs could include legal expenses relating to extraordinary litigation and any other items that we can consider to be nonrecurring in accordance with the 2-year SEC requirement for determining whether an item is nonrecurring, infrequent or unusual in nature. We believe that the adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry-accepted financial measure called theater level cash flow, TLCF, which is theater level revenue less direct theater level expenses. Average ticket price, ATP, which is calculated by dividing cinema box office revenue by the number of cinema admissions is also used as an accepted industry acronym. We will also use a measure referred to as Food and Beverage Spend Per Patron, F&B SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema's revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. I would also like to mention that we are presenting this coming Thursday at the Sidoti Virtual Micro-Cap Conference. We will post the presentation deck on the investor relations section of our website at www.readingrdi.com. So, with that behind us, I'll turn it over to Ellen, who will review our 2025 first quarter results and discuss our business strategy going forward, followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Cotter: Thanks Andre, welcome everyone to the call today, and thanks for listening in. Let's start with some significant events that occurred during the first quarter of 2025 and over the early part of the second quarter of 2025. On January 31, 2025, we completed the sale of our assets in Wellington, New Zealand for NZD38 million. Recall that we put these assets up for sale following the unexpected termination of the sale lease back deal we were working on with the Wellington City Council, which deal would have provided funding to cover our pre-development and carrying costs. As a result of the sale of these assets, we did eliminate NZD18.8 million of debt with Westpac and $6.1 million of Bank of America debt and reduced our overall annual interest expense and holding costs. As part of the sale transaction, we entered into an agreement to lease for a renting cinema space in the Courtenay Central building, which historically or before it closed in 2019 for seismic reasons, was one of our global circuit's best performing cinemas and one of the best performing movie theaters in all of New Zealand. The buyer of our Wellington assets, the Primeproperty Group, is actively working on redeveloping and seismically upgrading the building and will likely hand over our cinema tenancy early next year. As the cinema industry continues to strengthen, we anticipate reopening this theater in late 2026, early 2027. And our goal is to relaunch with the best cinematic experience in New Zealand. We've been working with a buyer on the sale of our Cannon Park asset in Townsville, Australia for the last few months. We have an unconditional contract for AUD32 million expected to close May 21, 2025 Australia time. If the buyer doesn't close, we have the option of terminating the contract, keeping the AUD1.6 million deposit, and remarketing the property, which is a terrific asset, reflecting a strong yield in a now decreasing interest rate environment in Australia. Whichever way we go, we'll be retaining our Reading cinema at this location, which has also historically been a strong performer. Assuming the sale closes with the net proceeds of the sale, we expect to pay down AUD21.5 million in debt to National Australia Bank, along with more limited paydowns to other select lenders. From an operational perspective at $40.2 million our Q1 2025 global total revenue was 11% lower than Q1 2024. This result was principally due to first a weaker box office due to the lingering impacts of the 2023 Hollywood strikes and the underperformance of expected tent poles like Disney's Snow White, which was no match for Dune Part Two, which was released in March of 2024. As it has been widely reported, the weak box office impacted each of the industries where we do business. Second, as we streamline our operations, our first quarter 2025 revenue reduced versus first quarter 2024 due to the closure of 2 underperforming cinemas with a total of 8 screens. Third, during the first quarter of 2025, our revenues were negatively impacted by foreign exchange. Both the Australian and New Zealand dollar average exchange rates weakened against the U.S. dollar by 4.5% and 7.3% respectively compared to the first quarter of 2024. Recall that historically about 50% of our total revenue has been generated internationally in Australia and New Zealand. And though our top line didn't deliver, our Q1 2025 global operating loss of $6.9 million decreased 8.5% from the global operating loss in Q1 2024. And that result was driven by more efficient cinema operations, including the elimination of loss generating cinemas, lower depreciation and amortization, and lower G&A expense. If you're reviewing the trajectory of our operations since the pandemic, you'll see that this operating loss represented the best first quarter result for this metric since Q1 2019. During Q1 2025, we delivered positive EBITDA of $2.9 million which increased over 173% from a negative EBITDA of $4 million in the first quarter of 2024. This result reflects both the gain on sale of our Wellington assets and the cost cutting efforts by the management team implemented over the last year. A positive $2.9 million EBITDA represents the best first quarter EBITDA since Q1 2021, and recall that that strong EBITDA for the first quarter of 2021 was driven by sizable net sales proceeds from the sale of our Manico and Coachella land assets. The sale of Wellington produced a netbook profit of approximately $6.6 million compared to an aggregate net profit of approximately $47.3 million from the Manico and Coachella land sales. As many of you know, we operate in 2 industries, cinema and real estate in 3 countries, the U.S., Australia, and New Zealand, with over 90% of our revenues generated from our cinema business. The last five years marked by the pandemic, interest rate hikes, inflation, and the 2023 Hollywood strikes have depressed our cinema business, causing us to rely on our real estate assets and our global real estate division to support us through the tough times. Generally speaking, we preserved our theater business by not only streamlining our existing cinema portfolio through closing, losing theaters, and creating efficiencies, but also monetizing real estate assets that had reached a point where further appreciation other than that driven by inflation was unlikely without material investment of additional capital. We've done this all without any governmental assistance from the U.S. and without deluding our stockholders. In the first quarter of 2025, we reported global real estate revenue of $4.8 million, which decreased by 2% over the same period in 2024, and our global real estate operating income of $1.6 million increased 79% over last year's first quarter. The change was primarily due to improved live theater performance, decreased holding expenses, and decreased appreciation amortization and G&A expense. As I just mentioned, similar to the rest of the exhibition community, our first quarter 2025 box office disappointed. At $36.4 million our Q1 2025 global cinema revenue was 12% lower than Q1 2024 and represented just under 63% of the pre-pandemic Q1 2019 levels. While this wasn't our expectation, it was understandable in light of the quality and quantity of the foam slate that was delivered. At $4.5 million our Q1 2025 global cinema operating loss increased 7% over the same quarter last year. As we put the first quarter 2025 in the rearview mirror, thankfully, the second quarter 2025 global box office has to date well exceeded expectations. With that, let's take a closer look at our global cinema business. As I just mentioned, following the overall industry trend, our first quarter 2025 global cinema revenue and global operating income were disappointing with both metrics lower compared to the same period last year. Our second quarter appears to be telling quite a different story starting with April of 2025. The April releases of A Minecraft Movie and Sinners have wowed moviegoers. This combination of movies has engaged multiple demographics across our markets and has created real cultural events and moments. A Minecraft Movie has generated over $930 million globally to date, setting the record for the largest domestic opening for a video game adaptation ever. Sinners, a completely original movie and another critically acclaimed collaboration from director Ryan Coogler and Michael B. Jordan has gross close to $320 million worldwide to date. In April 2025, each of our cinema divisions delivered substantially better theater level cash flow compared to April of 2024. And to date in May 2025, each of our cinema divisions is generating substantially better revenue compared to May of 2024. Both critics and audiences considered Thunderbolts a welcome MCU edition. Final Destination Bloodlines is another hit from Warner Brothers. And we were already seeing strong box office out of Australia from Mission Impossible - The Final Reckoning, which had early shows starting on May 17. And the presales from Lilo & Stitch, which opens in the next few days, are very strong in comparison to other titles. Both the 2025 summer and holiday period upcoming looked to be sensational. The slate is exciting, diverse, and promising. Families will come together to watch How to Train Your Dragon 4, Pixar's Elio, and Zootopia 2 from the Walt Disney Animation Studio. Superhero fans will be entertained by the Fantastic Four First Steps from the MCU and Superman from DC Universe. Huge franchises returned. Karate Kid: Legends; Jurassic World Rebirth, Wicked for Good, and Avatar: Fire and Ash. And audiences will likely embrace the highly anticipated original titles such as F1 starring Brad Pitt, directed by Joe Kosinski and produced by Jerry Bruckheimer, the team that was behind Top Gun Maverick, and the film One Battle After Another from director Paul Thomas Anderson and starring Leonardo DiCaprio. Our global teams will be poised and ready to take advantage of this box office bonanza. Let me highlight a few of the key strategic initiatives and themes that our teams will be working on through 2025. Our F&B program will continue to be a main focus. During the first quarter of 2025, the F&B SPP for our Australian circuit became the highest first quarter in company history. Our Q1 2025 F&B SPP in both New Zealand and the U.S. became the second highest first quarter in our history. These F&B milestones are powered by a number of different factors, including improvement in the convenience and functionality of our online and app F&B sales with our transaction sizes consistently improving. The sale of liquor, beer and wine in our theaters. As of today, excluding joint ventures, 86% of our theaters in Australia are selling liquor. 38% of theaters in New Zealand, and 100% of our U.S. theaters are selling beer and wine, and all but 3 are selling liquor, which we're working to change as we speak. Our F&B milestones were also influenced by the continued embrace of movie-themed menus in all 3 of our countries, where we offer our guests fun movie inspired cocktails, food items, and desserts. Also, the expanding merchandise trend where, especially in the U.S. we're complimenting our guest movie experience with the opportunity to buy movie-themed merch. Understanding the price sensitivities that all of our various audiences feel; in the U.S., we launched a comprehensive weekday discount program, which offers guests daily value-driven discounts on select F&B menu items throughout the week as opposed to the weekend. For instance, on Mondays we offer a mega movie combo. Tuesdays, we offer a BOGO sweet treat, and so on. We're also driving guests to our theaters through existing loyalty programs and are working to develop new and improved rewards and membership programs. In Australia and New Zealand, we recently revamped and relaunched our free to join Reading rewards program to provide better perks and savings. Today we have over 325,000 members. In late Q4 2024, we also launched our paid loyalty program for both our Reading and our Angelica brands. And since launch, we've signed up over 12,000 paid memberships in Australia and New Zealand. In the U.S., we have a free to join Angelica membership program with just under 158,000 members for 8 theaters. We'll also launch a premium Angelica monthly membership program within the next month or 2. We have an existing free to join rewards program in Hawaii that will be rolled into a new free to join and paid membership again within the next couple of months. At the same time, we'll roll out the same offer at our US-based Reading Cinemas. Another major effort for our global executive teams has been to work with our landlords to try and recalibrate our occupancy costs to reflect the new economic reality we've been experiencing over the last few years. In our landlord negotiations requesting expense -- occupancy expense relief, we highlight that while our attendance hasn't returned to pre-pandemic levels, almost all of our operating expenses are up, and the fact that we can only drive our ticket and F&B prices so high. Let's talk about our specific U.S. -- our specific cinema divisions. The U.S. cinema division first quarter results. Our U.S. cinema revenue decreased by 14% to $18.3 million compared to last quarter 2024. Our U.S. cinema operating loss improved by 8% to a loss of $3.1 million. Since the pandemic, we've closed multiple underperforming U.S.-based cinemas. Our most recent closures have been our cinema located in Plano, Texas, which closed in June of 2024, and its revenue is consequently included in the first quarter of 2024 results, and our Reading Cinemas Town Square located in San Diego, California, which closed in April 15, 2025. We anticipate that these closures will positively impact our future profitability even if they adversely impact the gross revenue line. And focusing on our first quarter F&B SPP of $7.97, it represents the second highest first quarter ever for a U.S. circuit. And at the Angelica in New York City, our team has been working all quarter long in collaboration with Focus Features to launch New York City's first ever film-themed cinema takeover with the release of Wes Anderson's The Phoenician Scheme. Starting Thursday, May 29, the Angelica will show The Phoenician Scheme on multiple screens while simultaneously giving moviegoers an exclusive and immersive experience throughout the theater. We'll offer set recreations, props, and more, offering great photo ops the guests can engage with. We're also offering The Phoenician Scheme themed movie merch designed by our in-host team, and our cafe, concession stand, and menus will all be themed to the movie. We just recently put on sale specially priced ticket packages for The Phoenician Scheme experienced and so far we're very pleased with the results. Now, let's turn to our cinemas in Australia and New Zealand. Following the first quarter 2025 box office industry trends and compared to the first quarter of 2024, our Australian cinema revenue decreased 9% to $15.7 million and our operating loss increased $1 million from an operating loss of $498,000. Our New Zealand cinema revenue decreased 8% to $2.4 million and our operating loss increased 54% to $353,000 from an operating loss of $231,000. Notable milestones achieved during the first quarter of 2025 include the following, which are all in functional currency. Our first quarter 2025 Australian F&B SPP of $7.83 was the highest first quarter ever for our Australian cinemas and represents 72% increase from Q1 2019. With respect to our New Zealand cinemas, our Q1 2025 New Zealand F&B SPP of $6.80 was the second highest first quarter ever. Again, like the U.S., we're glad to have the first quarter behind us, and we look forward to a very robust box office over the next few months. Next, let's turn to our global real estate business, which on a segment reporting basis includes not only our third-party rental income, but also our live theater business in New York City and our intercompany rents. Let's start with the first quarter 2025 global results. At $4.8 million our global real estate total revenues decreased by 2% while our total operating income of $1.6 million increased by 79%. Let me point out a few stand-out first quarter real estate division metrics. Driven by our U.S. live theater performance, our overall Q1 real estate operating income of $1.6 million is the best first quarter ever since Q2 2018. That result was delivered despite among other things, the elimination of rental revenue at our Wellington properties in New Zealand in the first quarter of 2025, our Culver City office building in Q1 2024, our Maitland property in New South Wales in the fourth quarter of 2023, and our Auburn Redyard development in June of 2021, which had 17 third-party tenants. This quarter's operating income was about 38% higher than Q1 2019's operating income, which again, was despite the elimination of that revenue, rental revenue associated with our asset monetizations. Breaking it down by division for the first quarter of 2025, our U.S. real estate business, which includes our 2 live theaters in New York City, delivered a 7% increase in revenue and a 139% increase in operating income. Our Australian real estate business reported a slightly decreased revenue of $3 million, but a 6% increase in operating income. Our New Zealand real estate revenue of $243,000 decreased by 33% compared to the first quarter of 2024, and our New Zealand real estate operating loss improved by 53%. With respect to our Australian and New Zealand portfolio, as of March 31, 2025, we had 71 third-party tenants in the combined Australian and New Zealand real estate portfolio. Our combined third-party tenant sales for the quarter from our Australian real estate was $29.7 million. And our third-party occupancy rate remained strong at 96%. Now, let's touch on our real estate assets in the U.S. We've been advancing sales efforts on our Newberry Yard asset in Williamsport, Pennsylvania, following the recent settlement of some necessary rail track easement issues that allow us now to sell clear title with to find access to the local rail system. Our sales process is taking longer than anticipated as we believe that our best buyer is going to be someone looking for rail yard or a distribution center type property. Today, we're engaging with certain parties about the purchase of the now 23.9 acre site. One of our stockholders asked again about the appraised value of Newberry Yard. We don't report on appraised or fair market values of our properties. However, we'll note again that the appraised value of this particular asset is well in excess of what we have reported on as the historic book value. Also recall that there is no mortgage on this or any of our other rail assets. We've also embarked on a detailed review of our other historic rail properties. We've retained an outside consultant to assist with the effort, and this will be an area of focus for the remainder of 2025. We received questions about our leasing progress at 44 Union Square. Questions were posed about what Reading and George Comfort and Sons are doing differently than CBRE to find tenants for the remaining space at 44 Union Square. I remind everyone that CBRE served as the broker for this property from 2021 through 2023. A challenging period for the New York City real estate market, particularly the office market. And as you know, we're marketing several floors of potential office space. What George Comfort has done since it took on the exclusive leasing broker role is to take existing live deals and try to work them to an agreeable place for both landlord and tenant. One deal that George Comfort has shepherded through the last several months is in the non-binding LOI stage and covers all the remaining rentable space in the building. A draft lease has been provided to the tenant's council. If the deal is consummated, we believe it would be a wonderful and unique addition to New York City. However, we can provide absolutely no assurance that it will be completed. If the deal is not consummated, we'll present a new path forward for 44 Union Square in August of 2025 during our next reporting cycle. So, that wraps up my report on the most important events over the last few months for Reading. In sum, while the company has endured serious headwinds over the last 5 years, we've focused on preserving our global theaters and have protected our stockholders from dilution through closing non-performing theaters, reducing expenses, selling certain real estate assets to significantly reduce our overall debt. While at the same time our various cinema teams have executed strategic initiatives to grow our revenue and streamline our expenses. And our global real estate teams have worked on establishing a strong base of reliable but dynamic third-party tenants. As the interest rate environment improves in Australia and New Zealand, and hopefully in the U.S. later this year, and the slate of Hollywood movies starts to stabilize, we believe that Reading is poised for a much stronger 2026 and beyond. And on a final note, [Margaret] [ph] and I want to extend our greatest appreciation to the management team and our employees who have continued to work tirelessly to keep the company moving in the right direction, not only over the last 5 months, but the last 5 years. Thank you. So that wraps it up for me. I'll turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenue for the quarter ended March 31, 2025 decreased by 4.9 million to 40.2 million when compared to the first quarter of 2024 as a result of lower attendance in all 3 countries, partially as a result of the 2 cinemas we closed in U.S. and New Zealand since Q1 2024, along with lower performing titles for our U.S. and Australia theater, which was in part due to the external factors surrounding the release of Disney's Snow White. Slight decreases in property rental revenue in all 3 countries. And the weakening of our Australian and New Zealand foreign exchange rate against the U.S. dollar offset by an increase in live theater revenue. Net loss attributable to Reading International Inc. for the quarter ended March 31, 2025 decreased by 8.5 million to a loss of 4.8 million compared to a loss of 13.2 million in Q1 2024. Q1 2025 basic loss per share decreased by $0.38 to a basic loss per share of $0.21 compared to a basic loss per share of $0.59 for Q1 2024. These improved results were primarily due to a gain on sale of assets of 6.5 million as a result of the sale of Courtenay Central property, lower operating expenses, and lower interest expenses compared to the same period in prior year. Our total company depreciation, amortization impairment, and G&A expenses for the quarter ended March 31, 2025 decreased by 1.1 million to 8.5 million compared to Q1 2024. This decrease was primarily due to decreases in depreciation and amortization as a result of the sale of our Culver property in February 2024 and the sale of Courtenay Central in January 2025 and no depreciation on our held for sale properties. Income tax benefit for the quarter ended March 31, 2025 increased by 0.2 million to 0.5 million compared to Q1 2024. The change between 2025 and 2024 is primarily related to a decrease in reserve for valuation allowance in 2025. For the first quarter of 2025, our adjusted EBITDA income increased by 6.9 million to an EBITDA income of 2.9 million for an EBITDA loss of 4 million in Q1 2024. Shifting to cash flow for the 3 months ended March 31, 2025. Net cash used in operating activities increased by 4.9 million to 7.7 million compared to cash used in 3 months ended March 31, 2024 of 2.8 million. This was primarily driven by 4.9 million decrease in net payable. Cash provided by investing activities during the 3 months ended March 31, 2025, increased by 10.2 million to 17.9 million compared to cash provided in 3 months ended March 31, 2024 of 7.6 million. This was due to higher proceeds from sale of Courtenay Central property in January 2025 compared to the proceeds from the sale of our Culver City office in February 2024. Cash used in financing activities for the 3 months ended March 31, 2025, increased by 5.6 million to 16.9 million compared to the cash used in the 3 months ended March 31, 2024 of 11.2 million. This was primarily due to higher loan paydowns compared to the same period of 2024. Turning now to our financial position, our total assets on March 31, 2025 were 441 million compared to 471 million on December 31, 2024. This decrease was driven by 6.7 million decrease in cash and cash equivalent from which we funded our ongoing business operations, 3.9 million decrease in receivables, 14.3 million decrease in land and property held for sale due to the sale of our Courtenay Central property. As of March 31, 2025, our total outstanding borrowings were 186.6 million compared to 202.7 million on December 31, 2024. Our cash and cash equivalent as of March 31, 2025 were 5.9 million. Further to address the liquidity pressure on our business, we are working with our lenders to amend certain debt facilities, and we have selected certain real estate assets for potential monetization and have listed them for sale. As it has been mentioned during the first quarter of 2025, we completed the monetization of our Wellington, New Zealand property for NZD38 million. The proceeds were used to discharge the Westpac mortgage on the property, and we paid down our Bank of America loan. We recorded a 6.6 million gain on the sale. During the first quarter of 2025, we made progress with our lenders on the following financing agreements. On January 31, 2025, we repaid 10.5 million Westpac loan. On January and April 2025, we executed amendments with Bank of America to defer certain principal repayments. On February 5, 2025, we repaid 6.1 million, taking the loan balance to 8.7 million. On February 26, 2025, we exercised our option to extend our rally national debt to October 1, 2025. On May 2, 2025, we extended the maturity date on the Emerald Creek Capital loan from May 6, 2025 to November 6, 2026. The amendment requires 2 repayments of 500,000 in May 2025 and February of 2026. As of today, we are contracted to sell our Cannon Park assets in Townsville, Australia for AUD32 million. We intend to use the proceeds of such sales to pay down our debt with NAB and Bank of America. Our lenders are working with us to accommodate the anticipated closing date of May 21, 2025. On April 29, 2025, we executed a further amendment with NAB that extended the repayment of our Australian $20 million bridge loan until May 14, 2025. On May 14, 2025, we received confirmation from NAB that the bridge loan will be further extended until May 23, 2025. Additionally, we're currently working with our lenders to extend the maturity date of the loan on our live theater in New York City. With that, I will now turn it over to Andre.
Andrzej Matyczynski: Thanks Gilbert. First, I'd like to thank our stockholders for forwarding questions to our investor relations email. As usual, in addition to addressing many of your questions in the prepared remarks from Ellen and Gilbert, we selected a few additional questions to offer additional insights from management. The first such question is, what is your cinema CapEX forecast for 2025? What cinema renovation projects are in progress, and what others are planned to start and completion in 2025. Ellen?
Ellen Cotter: In the U.S. during 2025, we've got 1 theater that has plans filed with the city for an upcoming renovation. We're converting 10 auditoriums to recliners and adding a [indiscernible] screen in that theater. In New Zealand, through the rest of 2025, we're working on concepts and plans for the upgrade of our Reading Cinema at Courtenay Central, which will include conversion to recliners, addition of premium experiences, and lobby and F&B upgrades. Right now, we've got 4 other cinemas currently targeted for upgrades in late 2025 and early 2026. With respect to those theaters, 2 in the US, 1 in Australia and another in New Zealand, we're currently working through capital allocation issues and landlord negotiations. So right now we can offer no assurance that those renovations in those 4 theaters will be completed, but we'll be able to have a more definitive report for you in the next quarter.
Andrzej Matyczynski: Thanks Ellen. In the same note, what are Reading's intermediate term plans to maximize and optimize the value of each of Minetta Lane, post the new Amazon audible lease, and Orpheum theater sites. What analysis has management performed as to what is likely far higher value from redeveloping these parcels into alternative use versus the revolving door renting Orpheum to live shows with intermittent costly periods of vacancy. Ellen?
Ellen Cotter: Reducing our debt and rebuilding our operational cash flow base are the 2 of our main priorities for 2025. We're continuously reviewing and weighing our assets against those goals. Our current plan for the Minetta and Orpheum is to continue to rely on the after debt service cash flow they've generated for years. We're in the process of renewing our Santander debt and anticipate that the interest rate will be stable over the year ahead. While we were disappointed to see Stomp close in 2023 after a historic 30-year run, the last 2 calendar quarters, Q4 2024 and Q1 2025 at the Orpheum have delivered cash flow comparable to Q4 2019 and Q1 2020, when Stomp was on stage. While we'd love to have another show, [indiscernible] sit down at the Orpheum-like Stomp as we work to find a show that has those unique and long-term potentials, we're booking well received, engaging in profitable shows that appeal principally to our East Village audience. The Jonathan Larson Project and Big Gay Jamboree are perfect examples of such shows. We also believe that the upcoming Ginger Twinsies, an Off-Broadway parody of The Parent Trap movie opening in about 6 weeks will also be a solid booking. And with respect to the Minetta, we've enjoyed our arrangement with Audible over the last 8 years and expect it to continue for at least the next few years. Audible continues to deliver strong programming. Their current show Sexual Misconduct of the Middle Classes, a New York Times critic pick starring Hugh Jackman, represents one of the best shows ever mounted at the Minetta. And Creditors starring Liev Schreiber, which just earned a New York Times critic pick, looks to be another hit. While focusing on running the theaters and delivering the best product for New Yorkers is our current plan as with all our assets, that operational plan does not prevent us from reviewing any future opportunity and weighing it against all our other options and conditions at the time.
Andrzej Matyczynski: Thanks Ellen. Regarding our debt, the Santander, Minneta, and Orpheum Theater term loan was only rolled forward for another short duration. Do you expect to refinance this loan with Santander or from another source, and how much will further increase in interest rate is expected to result from the refinancing term sheets you have seen. Gilbert?
Gilbert Avanes: We're in discussion with Santander to extend existing loan for another year. To be negotiated, the terms of the extension would include a partial paydown over the term of the extension. Also, we expect that the interest rate for the year to be generally within the same range as it is today.
Andrzej Matyczynski: Thanks Gilbert. And our final Q&A, which I filled. The company is presenting this Thursday, May 22 at Sidoti’s Virtual Micro-Cap Conference, as I mentioned up above. In addition to this conference, one of our stockholders asked what additional proactive steps and when will the company take to attract both sell-side analysts and buy-side investors to the company to obtain lower cost of capital and higher valuation on its shares. Apart from presenting at the Sidoti Conference, the company will also host [indiscernible] meetings with potential future shareholders over the 2-day conference. We're also working with our existing analysts to participate in several non-deal roadshows over the next 2 quarters. Whilst we maintain contact with potential sell-side and buy-side analysts, at this point in time, pay for coverage organizations are showing the most interest in our company, and management believes that the cost of such a service, taking into account our liquidity needs, does not seem to provide the best use of our capital.
Andrzej Matyczynski: That marks the conclusion of this -- conference call of 2025, a year in which we are at last beginning to see resurgence of the breadth and depth of the cinematic experience that we aspire to translate into enhanced value for our stockholders.